Operator: Ladies and gentlemen, thank you for standing by. Welcome to Best Buy's First Quarter Fiscal 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this call is being recorded for playback and will be available by approximately 11:00 a.m. Eastern Time today. I would now like to turn the conference over to Mollie O'Brien, Vice President, Investor Relations.
Mollie O'Brien - Director-Investor Relations: Good morning and thank you. Joining me on the call today are Hubert Joly, our President and CEO; and Sharon McCollam, our CAO and CFO. This morning's conference call must be considered in conjunction with the earnings press release we issued this morning. Today's release and conference call both contain non-GAAP financial measures that exclude the impact of certain business events. These non-GAAP financial measures are provided to facilitate meaningful year-over-year comparisons, but should not be considered superior to, as a substitute for and should be read in conjunction with the GAAP financial measures for the period. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures and an explanation of why these non-GAAP financial measures are useful can be found in this morning's earnings release. Today's earnings release and conference call also include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements address the financial conditions, results of operations, business initiatives, growth plans, operational investments and prospects of the company and are subject to risks and uncertainties that could cause actual results to differ materially from such forward-looking statements. Please refer to the company's current earnings release and SEC filings for more information on these risks and uncertainties. The company undertakes no obligation to update or revise any forward-looking statements to reflect events or circumstances that may arise after the date of this call. In today's earnings release and conference call, we refer to consumer electronics industry trends. The consumer electronics industry, as defined by the NPD Group includes TVs, desktop and notebook computers, tablets not including Kindle, digital imaging and other categories. Sales of these products represent approximately 65% of our domestic revenue. It did not include mobile phones, gaming, movies, music, appliances or services. During the quarter, as announced on March 28, the company consolidated the Future Shop and Best Buy brands in Canada under the Best Buy brand. The consolidation is expected to have a material impact on all of our Canadian retail stores and website on a year-over-year basis. As such, all Canadian revenue has been removed from the comparable sale space and international no longer has a comparable metric. Therefore, Enterprise comparable sales will be equal to domestic comparable sales until international revenue is again comparable on a year-over-year basis. I will now turn the call over to Hubert.
Hubert Joly - President, Chief Executive Officer & Director: Thank you, Mollie, and good morning, everyone. Thank you for joining us. I'll begin today with an overview of our first quarter results and I will then provide highlights of the progress we've made in our fiscal 2016 priorities and then turn the call over to Sharon for additional details on our quarterly results and commentary on our financial outlook. So first, our financial results. Enterprise revenue of $8.6 billion, in addition to our non-GAAP operating income rate and non-GAAP diluted EPS, all exceeded our expectations during the quarter due to a stronger-than-expected performance in the domestic business. Our non-GAAP operating income rate of 2.6% was flat to last year, including approximately 35 basis points of increased costs to support our investments in future growth initiatives, and our non-GAAP diluted EPS of $0.37 was up 6%. In the domestic business, against a backdrop where the NPD-reported consumer electronics categories, which represent approximately 65% of our revenue, were down 5.3%, our comparable sales in contracts, excluding the impact of installment billing, declined only 0.7% as we continued to take advantage of strong product cycles in large screen televisions and iconic mobile phones and continued growth in the major appliance category. Offsetting these positive trends was continued industry softness in other categories, most notably in tablets and computing where we have significant market share. For NPD, the tablet category declined nearly 30% similar to last quarter and computing declined high single digits versus low single digits last quarter. Throughout the quarter, our strategy of delivering Advice, Service and Convenience at Competitive Prices continued to resonate with our customers. While merchandising, marketing and operational execution were the tactical drivers of our better-than-expected first quarter financial results, strategically, we believe the cumulative impact of the progress we have made to improve our multi-channel customer experience is what has allowed us to consistently outperform the market. We have made real progress and it is showing in our results. I therefore want to thank our teams across all functions for delivering this progress and these results. All of us know that we have significant opportunities and work ahead of us. Thus, we continue to invest in the first quarter in the fiscal 2016 growth initiatives that we outlined in March. While these investments did and will continue to put pressure on our operating income rate, we believe they are imperative to driving future growth and improving our customer experience at every touch points. Today, we interact with customers in three distinct and complementary channels: online, in-store and in-home. We believe our ability to do this particularly in-home is a strategic competitive advantage that with these investments will further differentiate Best Buy from the competition and allow us to deliver uniquely personalized experience to our customers where, when and how they want to be served. As we invest, we will keep the obsessive focus on the customer experience that forms the core of our strategy. We operate in a retail world where good service is expected, therefore, we have to continue to identify and eliminate customer pain points as quickly as possible and in parallel, continue to focus on building uniquely engaging customer experiences which will be the basis for stronger long-term customer loyalty. I will now provide highlights of the progress we have made against our fiscal 2016 priorities, including our growth initiatives around key product categories, life events and services. So first from a merchandising standpoint, in appliances we rolled out 11 of the 60 additional specific kitchen and home stores within the store plan for this year. We also continue to invest in our fixed infrastructure to support the scaling of our appliance business as industry competition continues to provide opportunities to gain share. While these are multi-year investments, we do expect to see gradual and incremental improvements over time. In fact, in the first quarter, we saw early progress in improving our Net Promoter Score in appliance delivery and installation. In mobile phones, we extended our mobile phone installment billing selling capability online with AT&T and plan to roll out other carriers this summer. At this time, we are the only non-carrier retailer who can offer these types of plans both online and in-store and we believe this is a critical capability as consumer demand for installment billing continues to accelerate. We also continue to build out our key life events program. Of course, it is still very early for our newly launched wedding and gift registry, but we continue to see our new mover program drive significant revenue growth, particularly in televisions. We also launched an improved version of our multichannel gift center to deliver a better customer experience by significantly expanding the curated products to include more price points and more occasions. This was accomplished by supporting both Canada-based events like holidays, as well as using our Athena customer database to capitalize on other key events, such as birthdays and anniversaries. I'd like to share some of the recent developments related to our online experience. With such a significant and fast-growing portion of traffic now coming from mobile devices, it is imperative that we accelerate the transformation of our mobile customer experience. And so I'm pleased to say that in the first quarter we launched a new mobile app. The new app, which includes the acceptance of Apple Pay, has received strong customer reviews. During the quarter, we also launched new search capabilities that include the online visibility of returned open-box inventory. While there are more capabilities being implemented this year to improve recovery of our returned, replaced and damaged inventory, to-date we've made it much easier for customers to find, view and shop open-box products by adding the relevant information and links to the product listing pages and search results. Lastly, we began recruiting for our new technology development center in Seattle, which we believe will be instrumental in continuing the transformation of our e-commerce technology platform and mobile customer experience. Turning to services. We envision services playing three important roles. Number one, to be a differentiator by offering a unique service as part of the product purchase. Number two, to be a business driver contributing to product sales and a stronger customer relationship. And, three, to be a profit center in its own right. We view services as a source of strategic competitive advantage based on our ability to provide these services online, in store and in the customers' homes through our own system designers and Geek Squad agents. We are encouraged by the early progress we have been making. For example, we are seeing strong and improving NPS scores across our service portfolio. We're also getting a positive customer response from our in-home consultations and services provided by our Magnolia Design Centers and the classes we began offering in some of our stores. We also know that we are in the midst of a multi-year transformation of our services activities that entails significant work around our service offerings, capabilities, processes, tools and systems across all customer touch points. Of course, as we look forward to fiscal 2016 and beyond, it is imperative that we continue to focus on reducing costs and driving operational efficiencies to fund investments in our future. Therefore, as we announced last quarter, we're continuing to aggressively pursue the benefits from the second phase of our Renew Blue cost reduction and gross profit optimization program and encouraged by our early work. As a reminder, our Phase II target is approximately $400 million over the next three years, including the remaining benefit of approximately $250 million from our previously discussed returns, replacements and damages opportunities. These savings are not expected to begin until the back half of fiscal 2016 due to their structural nature and the time that it will take to develop systems to capture the opportunities. These savings will be partially offset, however, by the incremental investments we're making in our future growth initiatives, which for this year we expect to be in the range of $100 million to $120 million or $0.17 to $0.21 in diluted EPS. In the first quarter, we invested approximately $30 million or $0.05 of diluted EPS to fund these initiatives. Turning to our international business. We're aiming to strengthen our long-term position in Canada as the leading provider of consumer electronics products, services and solutions by consolidating our Future Shop brand into the Best Buy brand. This plan includes permanently closing 66 Future Shop locations, which we did in March, and converting the remaining 65 Future Shop locations and Future Shop website to the Best Buy brand. With these store closures, the company now has a total of 192 locations across Canada, including 136 large-format stores and 56 Best Buy Mobile stores. This plan also includes building a leading multi=channel customer experience which replicates successful aspects of our domestic Renew Blue strategy, including launching major appliances in all stores, working with our vendor partners to bring their products to life in a more compelling way, increasing our staffing levels to better serve our customers and investing in the online shopping experience, including expanding our in-store pickup areas, launching ship from store and introducing the marketplace program. To deliver this leading multichannel experience, as we've previously discussed, we're projecting to invest up to $160 million in capital over the next two years. So in summary, while the consumer electronics industry is subject to product cycles, we are excited about the role that technology plays in people's lives and the opportunities that this creates. We are also confident that we're executing against the right investment strategy that will allow us to capitalize on key technology waves and customer experience opportunities to build sustainable long-term shareholder value. I will now turn the call over to Sharon to discuss the details of our first quarter financials and our financial outlook.
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: Thank you, Hubert, and good morning, everyone. Before I talk about our first quarter results versus last year, I'd like to talk about them versus the expectations we shared with you last quarter. Our enterprise revenue of $8.6 billion exceeded our expectations due to stronger than expected growth in our domestic business. Our non-GAAP operating income rate also exceeded our expectations by 30 basis points to 50 basis points due to a mix shift to higher margin computing hardware and a better than expected performance of our credit card portfolio, again in our domestic business. I will now talk about our first quarter results versus last year. Enterprise revenue decreased 0.9% to $8.6 billion. Enterprise non-GAAP diluted EPS increased $0.02 to $0.37, driven primarily by lower net interest expense and a lower non-GAAP effective income tax rate due to a discrete income tax benefit in the quarter. In our domestic segment, revenue increased 1.4% to $7.9 billion. Our revenue growth was primarily driven by an estimated 130 basis point benefit associated with installment billing and a $40 million or 50 basis point improvement in the performance of our credit card portfolio, partially offset by a comparable sales decline of 0.7% excluding installment billing. Our domestic comparable online revenue increased 5.3% primarily due to increased traffic and higher conversion rates. As a percentage of total domestic revenue, online revenue also increased 30 basis points to 8.5% versus 8.2% last year. Versus last year's growth rate of 29.2%, this year's online growth rate of 5.3% was primarily due to the expected 1,000 basis points of pressure from lapping last year's gaming console introductions and the chain-wide rollout of ship from store as well as the industry softness in tablets and computing which represent a large percentage of our online revenue. We do expect the online growth rate to continue to be lower than last year's growth rate into Q2 due to again lapping over 1,000 basis points of growth from ship to store in Q2 last year. From a merchandising perspective, comparable sales growth in televisions, mobile phones and major appliances was more than offset by declines in tablets and computing. We also saw a comparable sales decline in services. This decline of 10.3% was primarily driven, though, by the positive impact of changes in our mobile warranty plans, which resulted in lower claim frequency, an operational positive, and lower extended warranty attach rates. In our international segment, revenue declined 22.1% to $668 million due to a negative foreign currency impact of 1,000 basis points, the loss of revenue from one month of the Canadian brand consolidation and the ongoing softness in the Canadian consumer electronics industry. Turning now to gross profit. The enterprise non-GAAP gross profit rate for the first quarter was 22.9% versus 22.8% last year, an increase of 10 basis points. The domestic non-GAAP gross profit rate increased 20 basis points to 22.9% versus 22.7% last year. This increase is primarily due to a 40 basis point benefit from our credit card portfolio, a positive mix shift to higher margin computing hardware, and additional positive mix shift due to significantly decreased revenue in the lower margin tablet category and the positive impact of changes in our mobile warranty plans which resulted in lower costs due to lower claim frequency. These increases were partially offset by increasing inventory reserves on non-iconic phone inventory due to declining inventory valuations and a negative mix shift into certain lower margin iconic phones. The international non-GAAP gross profit rate decreased 100 basis points to 22.8% versus 23.8% last year. This decline was primarily due to the disruptive impact from the Canadian brand consolidation and increased promotional activity in Canada. Now turning to SG&A. Enterprise-level non-GAAP SG&A was $1.7 billion or 20.3% of revenue versus 20.2% last year, a dollar decrease of $5 million but a rate increase of 10 basis points. Domestic non-GAAP SG&A was $1.6 billion or 19.8% of revenue versus 19.6% last year, an increase of $35 million or 20 basis points primarily driven by approximately 35 basis points of increased costs to support our investments in future growth initiatives and higher incentive compensation. These increases were partially offset by the realization of last year's annualized Renew Blue cost reduction initiatives and a discrete benefit from an operating tax settlement. International non-GAAP SG&A was $179 million or 26.8% of revenue versus 25.5% of revenue last year, a decrease of $40 million. This dollar decrease was primarily driven by the positive impact of foreign exchange rates and the elimination of expenses associated with closed stores as part of the Canadian brand consolidation. From a rate perspective, the 130 basis point rate increase is driven by year-over-year sales deleverage. For the balance of the year, as we announced in March, we are continuing to project a non-GAAP diluted EPS impact from the Canadian brand consolidation in the range of negative $0.10 to negative $0.20 due to lost revenue from the closed stores, disruption to the rebranded stores and higher SG&A due to the short-term investments we are making to maximize customer retention from the closed stores. This non-GAAP diluted EPS impact which was minimal in the first quarter due to just one month of disruption is expected to be fully incurred in fiscal 2016. The top-line negative impact from the store closing net of customer retention rates, however, is expected to continue long-term. Ultimately, we expect the Canadian business to be more vibrant and more profitable with profitability being defined as both higher operating income dollars and a higher operating income rate. I would now like to talk about our financial outlook for the second quarter of fiscal 2016. This outlook is based on the following assumptions. Number one, in the domestic business, a flat-to-positive low single digit revenue growth rate; two, higher year-over-year non-GAAP domestic SG&A dollars due to increased investments in future growth initiatives and SG&A inflation; three, in international, a revenue decline of 30% to 35% due to store closures and overall disruption from the Canadian brand consolidation in addition to the ongoing negative impact of foreign exchange rates; and four, an international non-GAAP operating income rate in the range of negative 3.5% to negative 5%, reflecting the near-term impacts of the Canadian brand consolidation that we've already discussed. With these assumptions, our enterprise outlook for second quarter includes a flat-to-negative low single digit revenue growth rate and a year-over-year non-GAAP operating income rate decline in the range of negative 30 basis points to negative 50 basis points, which is in line with our previous outlook. This revised outlook however now assumes a strengthening in our domestic business versus the previous outlook, offset by the near-term impact of the Canadian brand consolidation. Additionally, we expect the non-GAAP continuing operations effective income tax rate to be in the range of 38% to 40%. While underlying this outlook is a cautious view on the NPD consumer electronic categories overall, we are encouraged by the strong product cycle in large-screen high-definition television where we have a high market share and our momentum in the growing categories like mobile phones and appliances where we have a relatively low market share. So with these opportunities and our track record in outperforming the NPD categories, we are confident in our ability to execute against the outlook we provided today. I would now like to turn the call over to the operator for questions.
Operator: We'll have our first question from Aram Rubinson with Wolfe Research.
Aram H. Rubinson - Wolfe Research LLC: Hey. Thanks so much for taking the question. Two quick ones, hopefully easy. Anything that you can help us with to give us a line of sight into the holiday season this year on how you think that might shape up? And then I had a follow-up.
Hubert Joly - President, Chief Executive Officer & Director: Good morning, Aram. As you know, we're not talking about holiday today. It's still – it's too early to provide any color commentary. I think we've made some positive comments about some of the categories that are driving our growth in the large-screen televisions, phones and appliances. That pertains to the next quarter and going forward but it's premature to talk about holiday at this point. I wish I could tell you more.
Aram H. Rubinson - Wolfe Research LLC: Okay. And the second thing is you're operating in an industry that's shrunk by 3% in Q4 and shrunk by 5% in Q1. Can you just talk broadly about things that might be on the horizon to help you? Because you're doing a great job of gaining share but it makes your life a lot easier if that was not a negative? And then also are there any other big opportunities in margin or SG&A that you work on and develop that haven't yet been announced that could be in case that industry trend continue ad infinitum?
Hubert Joly - President, Chief Executive Officer & Director: Yeah, so let's – we need to be very clear. The 5.3% decline we called out pertains to the NPD tracked categories which are our most traditional product categories. They represent about 65% of our revenue. So you have other product categories that are not included in there, in particular, phones and appliances as well as gaming and entertainment. As you would know, phones and appliances are growing categories. Now, there's not immediately available precise information on these categories but I think if you look around you would assume that phones and appliances in particular are growing nicely. So I would not conclude even though we don't have precise facts for the quarter, I would not conclude that the industry as a whole is down by that much. Okay? So that's the first. It's really important to understand from an investment thesis standpoint because the industry is not down 5%. Okay? Now, it's hard to track exactly the number but it's not down 5%. Now, talking about categories we are excited about into the future. I think we've been consistent in saying, in fact, in particular that phones and appliances where a key area of focus for us, these are large markets that are growing, they -where our market share is low, so that's a significant area of focus that we talked about. And you're very familiar with some of the investments we are making. We've called them out on the call. The area of connected home is also an area of intense focus from a strategic standpoint. And it's not just the lighting or the locks; it's the fact that all of our homes are connected today compared to, you remember a few years ago, you had a PC, you had a CRT TV and a nice stereo system. Now, everything is connected which provides opportunities for us. There's a gap between what customers understand they can do with technology and what technology can do. So we are there to close these gaps. So we think about these waves of technology and I've given you two or three that are areas of intensive interest. As it relates to efficiencies, I think our entire strategy since day one of Renew Blue has been a balanced view between cost and revenue between the customers and the efficiencies, which is why we have the second phase of Renew Blue cost take-out that we've quantified at $400 million. As a management team, we're as intensively focused on that second phase as we were on the first phase. It's different in nature though. So it's more related to eliminating waste, driving efficiencies in our processes. So it goes after more structural systems-driven improvements, which is why we've indicated that start seeing the results in the next few quarters as opposed to in the first half of the year. But we're not betting on the market to all of a sudden becoming a rising sea to go after these efficiencies. This is a dual-track strategy.
Aram H. Rubinson - Wolfe Research LLC: Thank you for that.
Operator: We'll go next to Brian Nagel, Oppenheimer.
Brian W. Nagel - Oppenheimer & Co., Inc. (Broker): Hi. Good morning.
Hubert Joly - President, Chief Executive Officer & Director: Good morning, Brian.
Brian W. Nagel - Oppenheimer & Co., Inc. (Broker): Good morning. First off, a question on TVs. You called out the TV categories, one of, so to say, the bright spots in sales. How would you describe right now the overall momentum in that business from a product cycle standpoint and then relative to what the products may be coming out as we get closer to the holiday season? Thanks.
Hubert Joly - President, Chief Executive Officer & Director: Yeah, thank you. It's evidently an important driver of our quarter. Let me try to describe what you would see if you were looking at NPD data. The market is actually not up in the quarter. It had been up in Q4. It's not up in Q1. However, you have something that is going on which is a genuine customer interest for larger screen televisions. And, in particular, as the quality of the pictures has improved, and partly it is driven by 4K, a large-screen television is actually very appealing given a set number of pixels. And so what you're seeing is this wave in the large-screen television. What you are also seeing for us, and let me emphasize this because it's something we control, the work that our team, our merchandising team, has done in the stores in particular to showcase the latest TVs is quite extraordinary. As you know, we've done that in partnership with some of our key vendors in the stores, so Sony and Samsung in particular, with a pretty dramatic exposition of the TVs, as well as investment in expert labor. So there's more and more knowledgeable labor. So for these new TVs, I'm going to be judge and jury, but I'm going to say we're the destination for this and the better customer experience is really driving what is a material market share gain for us. Now, looking ahead at holiday, I think the one piece of uncertainty is going to be what the average selling prices are going to do in the back half as it relates to these TVs. So there's no doubt that the customer interest will continue. But the average selling price, of course, in our industry has a big impact on our top line. And how much deflation we will get, I think it's anybody's – it's a bet at this point in time. These are some of the key mechanics of what we are seeing.
Brian W. Nagel - Oppenheimer & Co., Inc. (Broker): That's helpful. Then maybe as a follow up on that. If you look at that dynamic right now with some of this new technology coming through the TV side, is ASP right now a positive? Or what's helping the business more on the unit side?
Hubert Joly - President, Chief Executive Officer & Director: What's going on is that there is significant price deflation. And I think if you visit our stores regularly, you'll be amazed by some of the prices we are offering. So all of you on the call, I encourage you to come and visit. What is helpful on the flipside is the mix. As we are mixing into a higher weight of large-screen TVs, the average selling price given the mix is actually helpful, but the individual prices are going down. I hope I was clear in describing that.
Brian W. Nagel - Oppenheimer & Co., Inc. (Broker): Got it. Thank you.
Hubert Joly - President, Chief Executive Officer & Director: Thank you.
Operator: We'll go next to Scot Ciccarelli, RBC Capital Markets.
Scot Ciccarelli - RBC Capital Markets LLC: Hey, guys. How are you?
Hubert Joly - President, Chief Executive Officer & Director: Good morning.
Scot Ciccarelli - RBC Capital Markets LLC: Good morning. I guess this is a little bit of a follow up on Brian's question. I mean, if you look at Best Buy's history, you guys have always significantly over-indexed with new technologies. You did mention having a higher market share in the new technology TVs. Can you give us an idea or some sort of range on what your rough share is? And specifically, how would you expect that share to change as the category starts to mature, especially as prices start to come down, as you just referenced, Hubert? Because obviously we're in a bit of a different competitive environment than what we were the last time we saw a major product innovation outside of the Apple ecosystem.
Hubert Joly - President, Chief Executive Officer & Director: Yeah, so this is a highly competitive arena. There's intense competition around this category. So I am going to refrain from giving too much information to our friends around the other players. We do see and as we've highlighted this morning, a material share gain for us, so that's very clear. I've also told you that we are indeed doing better, as you've highlighted, with the large-screen new television 4K. as is the case. So over time, we fully expect that this market share may go down as the new technology becomes more mass market. When that will happen, I think it's hard to call with precision. But we would expect that the benefit of what we've done will continue as I think we've really created a material difference in the customer experience as relates to buying these TVs. And it's still early in the cycle of adoption of these large-screen TVs and 4K TVs. So we don't expect a reversal in the short-term, but over time it will happen, always does, and then we focus on the next big thing.
Scot Ciccarelli - RBC Capital Markets LLC: So maybe a little bit of a different question then. So as you wind up seeing the ASPs on the new technology come down, because you mentioned significant price deflation, can you give us a general description, at least in terms of what you're seeing on the margin on that product? Thanks.
Hubert Joly - President, Chief Executive Officer & Director: Well, so your question is, does ASP deflation, does it have an impact on our gross profits?
Scot Ciccarelli - RBC Capital Markets LLC: Correct.
Hubert Joly - President, Chief Executive Officer & Director: Again, the answer is absolutely, yes, because it is a game of percentages and dollars. Even if the percentages stay the same when the ASP goes down, the dollar gross profit rate goes down. So welcome to our world. It's a world where we need to race constantly to beat these trends. And I think that what we're seeing in this quarter is the demonstration of our ability to do a very strong job taking advantage of the opportunities in the market. But it's hard work.
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: Our expectations – the expectation for the entire industry going into the back half of this year and going into next year would be that you would see increased volume because of the lowering ASPs, which then makes them more approachable to the mass. And then that would be true probably across the industry. So you end up with increased revenue and a slightly lower gross profit rate. That would be how we would see that playing out. And I'll just add to that that another place where we are in our minds clearly being able to inspire the customer and be able to put ourselves in a better position, of course, is from the promise that we can make to the customer on advice, service and convenience. Hubert talked a lot about it in his prepared remarks. And we clearly recognize that when somebody's in a Best Buy store and they are looking to invest in this type of technology, which is complex technology that we have a service offering that is not available across the landscape of retail and it makes a significant difference when you are changing technologies like this. So those combined is one of the reasons why we believe that it's a competitive advantage for us to be able to offer this more encompassing experience for the customer.
Scot Ciccarelli - RBC Capital Markets LLC: Got it. Thanks a lot, guys.
Hubert Joly - President, Chief Executive Officer & Director: Thank you.
Operator: We'll go next to Michael Lasser, UBS.
Michael Louis Lasser - UBS Securities LLC: Good morning. Thanks a lot for taking my question. Two, actually. In recognizing that there's not a lot of visibility in the sales outlook for the second half of the year, can you discuss some of the puts and takes on the margin side and some of the discrete factors that we should expect to see as you move into the third quarter and fourth quarter?
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: Michael, yes. We didn't guide the third quarter and fourth quarter at this point because we're still looking for clarity, obviously, around the top-line. I just described what we expect around the industry for television going into the back half. We are extremely focused in the back half of the year on executing against the Renew Blue initiatives that we had laid out earlier in the Q4 release and then of course the efforts that we have been putting towards our waste efficiency and other types of optimization, margin optimization initiatives. So we'll give you guys more color. We are very confident as we look toward the back half of the year in what we can execute at Best Buy. We are making a lot of progress on the system side. You guys are giving us the latitude of being able to make these investments in our future growth initiatives. And as a result of that, we have taken that and run with it. You can see what we have been doing. We actually told you guys we would allow you to track that. We gave you real numbers this quarter around how much we invested in the first quarter in order to be able to drive the type of outcome you would all be looking for in the back half of the year and that, we, ourselves are looking for. So we are – as we go into Q4, everything we are doing right now is to be able to execute another very strong fourth quarter and again the cycles are very – I think are going to be helpful to us. While we don't like where NPD is, we don't sit around internally talking about NPD being down X percent. Our field teams are obsessed with the ability to continue to drive our outcomes that are in our control, not allowing the industry to dictate it and if you saw the momentum that we're seeing right now in the fields, we haven't talked a lot about ISP, our individual sales tracking, and the work that we're doing against that. So we have a lot going on right now that we believe is all setting us up to really execute well in Q4. We can't tell you what the industry is going to look like, we can't tell you what exactly what products are going to be the big sellers but what we can tell you is that with the investments we're making and what is happening right now, I call it magic in our stores. We are prepared to execute a really strong Q4.
Michael Louis Lasser - UBS Securities LLC: Understood. And a quick follow up on the television category. We heard from many others that inventory was scarce of advanced televisions because of the West Coast port strike in the first quarter presumably given your strong inventory position you're going to be ahead of others to get products. So do you think that you were in better in stock position with that product during the quarter and that helped you gain some market share? Or was that really not part of the story?
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: I'm going to applaud our inventory demand planning teams and our supply chain teams here because the port strike seems to be coming up in a lot of announcements. We made a decision as we talked to you guys about in Q3 of last year that we were going to stay ahead of this. We did bring in more inventory, we did work with our vendors and partner with them, it was a small price to pay to be able to serve our customers. Being in stock is critical in our goals around our NPS. So we don't have a port strike story to tell you. Do we wish we had more? Yes. Do we have some pluses and minuses? Of course. But overall, the execution from those teams has been very strong. So we are applauding them and recognizing it's difficult. But at this point, we feel that we're in a good place, always like to have more but we're in a good place.
Michael Louis Lasser - UBS Securities LLC: Understood. Good luck with the rest of the year.
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: Thank you.
Hubert Joly - President, Chief Executive Officer & Director: Thank you, Michael.
Operator: We'll go next to Matthew Fassler, Goldman Sachs.
Matthew Jeremy Fassler - Goldman Sachs & Co.: Thanks a lot. Good morning.
Hubert Joly - President, Chief Executive Officer & Director: Good morning, Matt.
Matthew Jeremy Fassler - Goldman Sachs & Co.: I'd like to focus on two details from the P&L in the quarter. First of all, if you could give us some context for the credit card line item. How often do you true this up? Is this a thing you look at once a year? With more frequency, if the performance remains good, could we get another item like this? So how do we think about the cadence of credit card impact in the P&L?
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: So, remember, associated with the credit card that year-over-year last year we were down almost, I believe, it was 45 basis points year-over-year. So what we did this year – that was the transition period of the credit card. So this year we are obviously coming into a place where we are much more stable in the projections around the credit card and all transition for the most part is gone. We are benefiting in the credit card portfolio right now by a very strong backdrop which I would call the economy which of course gets around your loss ratios and other things in the credit card. Not to mention the fact that we're executing well at retail and building our portfolio. So it is a combination of two things. But the place, Matt, where we will be cautious – it's not cautious, it is a macro situation that we have to recognize is that the economy is tracking along. At any point there can be moments in the economy, both positive and negative, but the negative ones are going to probably impact your loss ratios. We tend to operate at a very high credit score. So it's going to be less impactful to us initially but that is the nature of these co-brands and private label credit card portfolios. So at this point, we felt like Q1 was a very strong quarter. We're maybe getting a little bit of residual off of the previous agreement which could potentially not continue. But as far as drama goes around the credit card at this point, we don't have any to talk about.
Matthew Jeremy Fassler - Goldman Sachs & Co.: And if it's possible to make the distinction, would you say that this favorable item was simply cycling the hit from a year ago? Or was it actually better than expected performance relative to the run rate?
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: I think it's both.
Matthew Jeremy Fassler - Goldman Sachs & Co.: Got it. And then a second question on the gross margin side, it relates to the reserves that you took for phone inventory. It's interesting that you had a lot of positives on the margin side. You spoke about the phone write-downs. If you could give us some dimensionalizing of that. And I don't think you spoke at great length about price investment, so does that remain a part of the margin story for you?
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: Yes. We did continue to make price investment in the first quarter. Because remember last year, we were investing each quarter measuring and then continuing. So it accumulates and then of course it comes – whatever we did in Q3 and Q4 of last year, it hits us in Q1. So absolutely invested in price. On the phone reserves, it's very simple. There are some very strong phones in the markets. And then there are other inventories that you may have whether they are new or open box. And these inventories, because of installment billings, a customer buying a used phone or a new phone or higher price phone, the monthly charge of that is quite small, the difference. So I can buy a more expensive phone without a lot of financial impact to myself through installment billing. So it takes the valuation on some of the less iconic phones and it impairs them. And I think that the great news is that we are so strong in the iconic ones that we saw this incredible performance of mobile. And the other side of that, (44:31) driven by that is this – what happens to the other phones when that occurs. So we do not see this as a long-term issue or something that's going to continue each quarter but it is associated with the other side of our performance, which was a very overall, including this reserve, strong performance in mobile.
Operator: We'll go next to Peter Keith, Piper Jaffray.
Peter Jacob Keith - Piper Jaffray & Co (Broker): First off, just on the improved domestic revenue outlook, it looks like maybe came in towards the high end of your expectations for Q1, now expecting better results in Q2. Could you talk about what's driving that near-term whether it's products or store execution?
Hubert Joly - President, Chief Executive Officer & Director: Yeah, good morning, Peter. I think that Q2, it was – there's a few things we can highlight. First, from the phone standpoint, if you compare to last year, we have two iconic phones in the market compared to last year. I think we can agree with this. Second, still on phones, we are now in a position compared to last year where we're offering installment billing, we were just beginning last year and it was just ramping up. And so that's another positive. From an internal standpoint, I would also highlight that last year we did something pretty much right around this time, which was the reorganization of our field structure. Remember, we talked about this. This was a very material reorganization. We're very happy with the outcome of that reorganization but as you can imagine, this was disruptive at the time. So these are illustrations of what is leading to a better outcome – expected outcome in Q2 of this year versus last year.
Peter Jacob Keith - Piper Jaffray & Co (Broker): Okay. Thank you for that. And then a follow up maybe for Sharon. Some good detail on the outlook for Q2. If we're backing into it right, it looks like you're thinking about the domestic gross margin flattening out or maybe declining. I was wondering if you could verify that and maybe what changes from Q1 where the gross margin performance was pretty good.
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: Yeah. So, we're not guiding individual line items. And depending on how you're modeling, you could potentially come into a margin within a fairly wide range based on the guidance that we gave you. Again, what we're anticipating, of course, is that we're going to see positive revenue. And when we see that, depending on the mix of that revenue, we'll see how that plays out. It gets into some of the discussions that we had about this increase in volume and some of these categories you're seeing declining ASPs, but you're going to see more volume. We're expecting to see a strong – remember what we said, strong product cycle in television. So that is a possibility. But I think that when we look at our business, it is difficult by line item to give future outlooks. From an execution point of view, obviously we do feel like we are going to have a solid outcome. Now, remember, on the OI rate, Q2 is going to be one of our big quarters of our investments in our growth initiatives. Across the board, in just about every one that we laid out, there is a layering in of expense in the second quarter. So on the SG&A side, while you may see it in gross profit in the way you've modeled, I would tell you that on the SG&A side is where we actually are anticipating to see much more pressure. So gross profit is interesting, but actually the place where the Q2 – and this started, we talked about this even last quarter, it hasn't changed. What did change as far as those investments went, what did change is the fact that we're going to have the higher revenue in the domestic business, which gives us certainly more leverage of those investments in Q2. So that was a little circular way, you asked me a specific question, I had to go to the SG&A because in your modeling, you're looking at it gross profit, but it's really SG&A.
Peter Jacob Keith - Piper Jaffray & Co (Broker): Okay. That is helpful. Thank you very much.
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: Thanks.
Operator: We'll go next to Seth Sigman, Credit Suisse.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Great. Thanks very much and nice progress in the quarter, guys.
Hubert Joly - President, Chief Executive Officer & Director: Thank you.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): The $0.10 to $0.20 impact from the Canada restructuring, how is that weighted throughout the rest of the year? Is it heavily weighted to Q2 or pretty balanced? And then if you look at the other side of that as you think about the potential benefits from the consolidations, I realize it's early, but what type of transfer rate are you seeing on those stores that you're consolidating early on? And just in general what type of benefits, if any, are included in the outlook at this point?
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: I'm going to let Hubert talk about how the Canadian consolidation is progressing. And then when he's finished, I'll come back and talk about the $0.10 to $0.20. Hubert, do you want to take that?
Hubert Joly - President, Chief Executive Officer & Director: Yes. Thank you for the opportunity to lay out what's happening in Canada. This was obviously a very significant decision we made. So as I said in my prepared remarks, we've closed the stores that we were going to close. We've also closed the Future Shop site. The Best Buy stores are doing great. There's a lot of momentum there. The remaining Future Shop stores, the 65 that are open and that are converting to Best Buy are very much in a period of transition. It's very important to understand. If you go to Toronto or Vancouver, you're going to be surprised because you're going to see Future Shop stores that are operating with sales associates wearing a blue T-shirt. And so that's a bit confusing for the customer. So let me describe now what's ahead of us. What's ahead of us, over the summer we're going to re-sign, if you will, or change the signage and really convert the Future Shop stores to Best Buy stores. So by the end of the summer, they will look like Best Buy stores. And that's going to take the next three months. The other thing that we're very excited about – well, let me first say I'm very proud of one thing which is how our Canadian team has remained extremely focused on serving the customers during that period of time, so I have to salute them there. What we are excited about is the work that the team started to do after we announced, because remember that before the announcement, this was a fairly closely held decision. So we started to work with our vendor partners in Canada and we started to work on the design of the stores of the future, if I can call them that. Very encouraged by the reaction from the vendor community that see the change we've made as a material opportunity because it's given the opportunity to invest in fewer stores and make them great, which is the essence of this transition to multichannel. When you go to the store, the customer experience needs to be amazing. So the teams are working on this design. Later this year, we will implement in a few stores, we're still defining exactly how many, but it's likely to be a handful roughly speaking, of stores that are going to be representative of what the stores are going to look like in the future. In these stores, there will be disruptions because it's a complete revamp of the store and we'll see how it does during holiday. And next year, we will expand that to the remainder of the chain. So this is really next year after we've done the conversions and the investments that we will have a good sense of where the ongoing retention will be. So far, we're pleased by what we're seeing, but I don't think it's meaningful, right, as the essential idea was not simply to close stores because the customers, you're not doing anything for the customer but to reinvent the customer experience as we move forward. And I think what we're going to see is going to be exciting, but it's going to be a journey as many things we do. Sharon, about the $0.10 to $0.20?
Sharon L. McCollam - EVP, Chief Financial & Administrative Officer: Yes, so within that range, first of all, we feel very comfortable within that range. In Q2, you're going to see obviously a bigger impact than Q1. Remember, we only had one month in Q1. So I think that I've actually given you specific OI rate guidance for Q2, so there's no mystery in what Q2 is. Last year the international rate was a negative 3%. They're coming up against a very weak quarter last year, so the impact doesn't look as big in Q2. But if you got to the low end of the range that I provided on the outlook, which was a negative 5% for Canada, that would be looking something like a $0.01 or so of negative impact to the EPS. And then in Q3, it's going to get bigger and the largest piece of it's going to come in Q4. You got to remember that in Canada historically, their jump from Q2 to Q3 on revenue if you just look at the international segment is much bigger than the way the U.S. jumps from Q2 to Q3 and then it jumps again from Q3 to Q4. So that's how you should be modeling your impact as you look there. And then in Q3, as Hubert mentioned, all the work that we will be able to get done this year, we will of course do before we go into holiday. So Q3 gets some pressure from that as well.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you for all that color. I appreciate it. And if I could just clarify when you say that the Best Buy stores in Canada are doing great, is that a result of transferring sales from the closed stores? And if so, is there any implication for the U.S. store base and how you're thinking about that longer-term? Thanks.
Hubert Joly - President, Chief Executive Officer & Director: Sure. Yes. So the positive comments about the Best Buy stores in Canada is very much related to the impact of the store closures. As it relates to the U.S., the situation – I would say two things. We've always said that we would on an ongoing basis optimize our store footprint, so I will reiterate that. That said, the situation in Canada is completely different from the U.S. In Canada, the store footprint was driven by these two brands. So again, for those of us who have been to Canada, we have seen these parking lots where you had the Best Buy store and in the same parking lot quite often the Future Shop store. So that is a gift from heaven, right, because the retention there is going to be quite extraordinary if we manage to create something great for the customers in the remaining stores. The configuration of the store footprint in the U.S. has nothing to do with that because we've always had only one brand. And so it's not the same kind of opportunity which we saw in Canada or in what our Canadian teams saw is the fact that as many of you would have guessed, consolidating the two brands was the right thing to do and was going to unlock the opportunity to save on SG&A and be able to invest with our vendor partners strategically in the remaining stores. Different situation in the U.S. That said, of course, we will look. We're always learning, so we will look at what we can learn from the Canadian experience but the translation is not going to be immediate. I want to be very clear about that.
Seth I. Sigman - Credit Suisse Securities (USA) LLC (Broker): Understood. Thanks very much.
Operator: And we'll go next to Joe Feldman, Telsey Advisory Group.
Joseph Isaac Feldman - Telsey Advisory Group LLC: Hi, guys. Thanks for taking the question and congratulations.
Hubert Joly - President, Chief Executive Officer & Director: Thank you.
Joseph Isaac Feldman - Telsey Advisory Group LLC: Wanted to ask – you guys have talked about services and the efforts that are going on there but, I guess, are there other maybe specific things you could talk about, I guess, within that? Hubert, in your prepared remarks, you mentioned we need to identify the pain points and fix them quickly, and I was just wondering if you had an example or two that you could share that that maybe where you are doing that?
Hubert Joly - President, Chief Executive Officer & Director: Yeah, thank you for your comments, because indeed, services is a big part of our competitive advantages. One area that I've commented upon is appliance delivery and installation. It's a big part of our growth strategy. And doing appliance delivery and installation right is not easy. You're talking about moving (57:57), making sure it's not damaged in the process, then delivering it in people's homes. If there is installation work related to gas or electricity or water, getting licensed professional into people's homes and coordinating the entire process is an area where – that we identified candidly as an area of opportunity, where we have high standards at Best Buy, where we want to make this great and a source of differentiation. So there's a process redesign work going on, both impacting the online buying experience as well as the in-store buying experience because everything needs to go well at every step in the process. So that's an example of fixing pain points. On the flip side, an example of providing an inspiring customer experience which is the – increasingly we're going to spend more time on the latter. And I would highlight a couple of things that we are excited about and that I've recently mentioned, which is the in-home consultations provided today by, in particular, by our Magnolia teams and that would apply to probably everyone on the phone. If one day you feel that your network is not functioning properly, and I'm assuming that that would be a widespread phenomenon or if you're asking yourself questions about how your audio or video system should evolve, we provide the service where we'll go to your home and will have a professional that will work with you, understand your situation, your needs, and come up with something that is a range of solutions. And when you think about the entire room around video, around entertainment, around productivity, around your home office, around security, around access to content, there's so many complex areas and being able to go to your home is something that is very inspiring. Similarly, classes, we've deployed – we're deploying in a number of our stores, camera experience stores where we have a hub and spoke system, a bigger assortment, better staffing, better expertise. We are also doing classes in these camera experience stores and for those of us who are passionate about photography, this is something that is inspiring, creates traffic to the stores, create, of course, add-on sales opportunities. So these are the range of examples that we're working on and that can provide opportunities for us.
Hubert Joly - President, Chief Executive Officer & Director: With this said, I'm looking at the clock and, operator, with your permission, this will be the last question. I want to thank all of you on the call for your continued support, your kind comments this morning. We're working hard on your behalf to continue to deliver great experiences for the customers and great results for our investors. So the journey will continue, and we look forward to continuing to updating you on our journey. You have a great day. Thank you so much.
Operator: That concludes today's conference. Thank you for your participation.